Operator: Greetings, and welcome to the Expion360 Second Quarter 2025 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded and will be available on the company's Investor Relations website at investors.expion360.com. Before we begin the formal presentation, I would like to remind everyone that certain statements made on this call and through the webcast are forward-looking statements within the meaning of federal securities laws and are subject to considerable risks and uncertainties. These forward-looking statements are intended to qualify for the safe harbor from liability established by the Private Securities Litigation Reform Act of 1995. All statements made on this call today, other than statements of historical facts are forward-looking statements and include statements regarding the company's beliefs, plans and expectations about its operations, growth prospects product development and pipeline ability to execute its long-term growth strategy, anticipated timing of commercial availability of its products, market size and opportunity, the anticipated incremental revenue to be generated from new OEM partnership and distributors; potential partnerships or collaborations with third parties and the anticipated use of proceeds from the company's public offerings. While these forward-looking statements represent management's current beliefs and expectations, they are subject to risks and uncertainties that could cause actual results to differ materially. The company has explained some of these risks and uncertainties in its SEC filings, including the Risk Factors section of its annual report on Form 10-K. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our expectations as of the date of this presentation. Except as required by law or the NASDAQ listing standards, the company expressly disclaims any intent or obligation to publicly update or revise any forward-looking statements. Your host today, Brian Schaffner, Chief Executive Officer and Interim Chief Financial Officer, will present the company's results of operations as of and for the second quarter ended June 30, 2025. A press release detailing these results crossed the wire this afternoon at 4:05 p.m. Eastern Time and is available at investor.expion360.com. At this time, I will turn the call over to Brian.
Brian Schaffner: Thank you, Ariel, and good afternoon, everyone. I am pleased to welcome you to today's second quarter 2025 Financial Results Conference Call. I'd like to start by giving a brief overview of who we are and what we do. Expion360 is focused on creating energy storage solutions for our customers, utilizing our core values of safety through third-party testing and UL certification, quality offering an industry-leading 12-year warranty and service providing customer support for the entire energy storage system purchased from us, not just the Expion360-built components. Expion360 designs, assembles and sells lithium iron phosphate or LiFePO4 batteries and supporting accessories for RV, marine, light electric vehicle and home energy storage applications. We believe that our product offerings include some of the most energy dense and minimal footprint batteries available, and we are deploying multiple intellectual property strategies advanced research and development capabilities and innovative products to sustain and scale our business. Our customers include dealers, wholesalers, private label customers and original equipment manufacturers or OEMs who are driving revenue and brand awareness nationally, and we complement our wholesale channel with direct to consumer sales. Our management team and Board members are experienced across engineering, technology and finance. We believe the combination of these factors positions us to execute our long-term growth strategies. The second quarter included 2 of our most successful months of sales in company history, marking our sixth consecutive quarter of sequential revenue growth and sustained momentum. Revenue grew 134% year-over-year to $3 million and 46% sequentially from the first quarter of 2025. And if you can't tell, I am proud of the progress we have made and remain excited about our future. Our e360 product line continues to be a preferred conversion solution for lead acid batteries as demonstrated by its strong sales growth. We now have more than 300 customers nation nationwide and maintained sales relationships with major RV retailers and distributors, including Camping World, K-Z Recreational Vehicles, a subsidiary of THOR Industries and Meyer Distributing Inc. We continue to work towards additional OEM market penetration with new major partners, including Scout Campers and Alaskan campers. We believe we have a strong reputation in the lithium battery space, and we plan to continue leveraging that to broaden our distribution channels. To highlight some of our operational accomplishments and milestones in the second quarter. We have advanced our Home Energy Storage Solutions, or HESS vertical, with shipments beginning in January 2025. We believe the HESS product line will benefit from a fast-growing battery energy storage market and consumer update can rapidly scale with the introduction of products like HESS to improve price flexibility and integration. We are exploring opportunities to expand HESS into the AI data center storage and backup market. We are actively pursuing a tariff exclusion request in working with our resources in Washington, D.C. to minimize potential impacts on our business and growth. We implemented both short- and long-term mitigation strategies, including building 6 to 12 months of inventory ahead of the tariff changes, reducing our costs in the current battery line and diversifying our supply sources. Longer term, our goal is to onshore manufacturing of key components such as BMS sales, communications and cases, which would reduce tariff exposure and allow us to pursue opportunities in the government and defense space. Our reputation for quality in the recreational and LEV markets is the driving force behind our development of home energy solutions, which we expect will be the foundation for our future growth. As mentioned, we pride ourselves on servicing the entire system sold to a customer, not just the battery, and we are also a master Victron distributor. We believe we have strategically positioned our battery portfolio across the 5 markets we serve, each of which I will touch on. The RV market is recovering with healthy momentum driven by interest in outdoor activities and demand for vehicles that depend on batteries to power their systems. Our lithium batteries support RV systems and appliances while replacing noisy generators for off- grid power and can be charged by the engine or by solar. Our Edge battery, which is now commercially available, features a custom form factor incorporating our patent-pending innovations and recently developed IP, including VHC heating technology, SmartTalk Bluetooth and CAN Bus communications. We began shipping the Edge to customers in the third quarter of 2024. Our solutions are also employed in the marine market to support trolling motors and operating cabin electronics. The third established market we serve is the light electric vehicle market or such as golf carts, which are undergoing the transition from lead acid to lithium and require the power generation and reliability that our batteries can provide. The fourth and newest market we serve is the home energy storage market, including both home and commercial solar power storage solutions. I'll expand on our opportunity in home energy shortly. Finally, we see the industrial applications market as a future growth vertical for us driven by demand for additional capabilities for electric forklift and industrial material handling. We are building a robust IP portfolio across all 5 of these markets, and we currently have 11 patents pending. Now I'll focus on our market expansion within the e360 Home Energy Storage Solutions, or HESS. With the introduction of our 2 LiFePO4 battery solutions to support home energy storage, we are targeting home and small commercial solar and users and installers who are interested in a high-performance modular system with straightforward installation. The company accelerated its home energy development time line in response to the downturn in RV sales in 2023. Despite increasing our market share during that period, we recognize that home energy represented a critical growth opportunity for our future. Of our 2 existing home energy product options, one has received UL 9540 certification, and the other is in final stages of UL approval, a requirement in states such as requires California that require UL 9540 certification of the battery and inverter to qualify for tax credits. Battery Storage systems offer a way to capture ROI for a consumer outside of a traditional solar system, utilizing the draw of power into the system during off-peak hours and a discharge during peak hours. Our solutions provide scalability and versatility across market channels, including solar installers, electrical contractors, residential and commercial builders and energy service providers. The view of our home energy solutions can be found on our website. We think the home energy market provides complementary economics to our business model with an opportunity to generate recurring revenue streams while enabling margin expansion in a market that is expected to surpass $123 billion globally by 2029 according to market data forecast, supported by incentives such as California's Self-Generation Incentive Program and federal tax credits available through the Inflation Reduction Act. We are using proceeds from our public offerings to provide necessary funding necessary funding to further develop our new e360 home energy storage solutions, including finishing our UL testing and certification process in addition to other requirements required for various authorities having jurisdiction. I will now discuss our second quarter 2025 financial results. Revenue in the second quarter totaled $3 million, an increase of 134% from $1.3 million in the prior year period. The increase in net sales was primarily attributable to sales growth in the RV market along with accessory sales growth through integrator partners. Gross profit totaled $0.6 million or 21% of revenue as compared to $0.3 million or 25% of revenue in the prior year period. The decrease in gross margin percentage was primarily attributable to the product mix sold in the different periods. Gross margin was affected by ongoing tariff uncertainty and a higher mix of lower margin pass-through product sales. We mitigated some of this impact through early inventory builds, cost reduction in our battery line and supply chain diversification to free trade countries, such as South Korea. Long term, our strategy includes onshoring manufacturing of key components. Our selling and administrative expenses were $2 million, which was flat compared to the prior year period and a decrease as a percentage of sales of 91 percentage points, from 157% of sales in the second quarter of 2024 to just 66% of sales in the second quarter of 2025. The decrease was primarily due to the reduced cost of rent related expenses and offset by smaller increases in travel expense, research and development and other expenses. Net loss in the second quarter totaled $1.4 million, a 38% improvement over a net loss of $2.2 million in the prior year period. The decrease in net loss was primarily a result of a higher net sales for the period ending June 30, 2025, combined with our decreases in selling, administrative and general expenses. Turning to the first half 2025 results. For 6 months ended June 30, 2025, net sales totaled $5 million, a 124% increase from $2.2 million in the prior year period. The increase in net sales was primarily attributable to sales growth in the RV market along with accessory sales growth through our integrator partners. Gross profit for the 6 months ended June 30, 2025, totaled $1.1 million or 22% as a percentage of sales compared to $0.5 million or 24% and as a percentage of sales in the prior year period. Again, the decrease in gross margin percentage was primarily attributable to the product mix sold in the different periods. Selling, general and administrative expenses for 6 months ending June 30, 2025, decreased by 14% to $3.6 million compared to $4.2 million in the prior year period and decreased as a percentage of sales by 114 percentage points, from 186% of sales in the first half of 2024 to just 72% of sales in the first half of 2025. The decrease was primarily due to decreases in salaries, benefit, rent and related expenses and legal and professional fees were slightly offset by an increase in research and development expenses. Net loss for 6 months ending June 30, 2025, totaled $2.5 million, a 43% improvement from a net loss of $4.4 million in the prior year period. The decrease in net loss was primarily a result of higher net sales for the period ended June 30, 2025, combined with decreases in selling, administrative and general expenses. Cash and cash equivalents totaled $0.7 million as of June 30, 2025, compared to $0.5 million as of December 31, 2024. Net cash used in operating activities totaled $1.6 million for the 6 months ending June 30, 2025, compared to $3.4 million in the prior year period. Receiving inventory that was prepaid during the prior period accounted for the majority of the change for the 6 months ended June 30, 2025. In closing, we remain confident and enthusiastic about 2025 and beyond with substantial purchase orders already in hand, and interest from new customers across our product line, including our next-generation GC2, Group 27 and Edge batteries, we look forward to additional milestones in the months ahead. Our focus on safety, quality and service continues to resonate with our more than 300 customers nationwide. Operationally, we have undertaken several initiatives to increase margins and reduce costs within the current line of batteries. We continue to work towards additional OEM market penetration by continuing to add features, including enhanced energy density and developing OEM-centric form factors to further our market reach. I thank you all for attending. And now I would like to hand the call over to the operator to open the line for questions.
Operator: [Operator Instructions] As there are currently no questions from the phone, I would like to turn the question-and-answer session over to Larry to take questions from the webcast.
Larry Holub: Our first webcast question asks, current tariff environment and lobbying efforts in Washington, D.C. Has anything developed?
Brian Schaffner: Yes, that's a good question. Obviously, the tariff finish line for a lack of a better term continues to be moved on a monthly basis. We do feel confident with our lobbying efforts in D.C. and we believe that we have our case for an exclusion or an exception in front of the right people. But right now, we are continuing to benefit from the decisions that we made in September and October and November when we preloaded our inventory for the next year.
Larry Holub: Our next webcast question asks, how much prebuilt inventory is left for subsequent quarters?
Brian Schaffner: It's a considerable amount. I mean, the inventory that you see on our books, which is over $5 million that is available for sale, that represents a majority of the what is left on the inventory that we purchased in September and October and November. And so we are looking to actively replace that so that we can head into 2026.
Larry Holub: And our last webcast question asks, does the China tariff pause help? Or will you pass price increases to customers or sell at lower margins?
Brian Schaffner: I think that for us, for the next quarter, what matters is our sales mix. As I alluded to before, we have some accessory sales that went out at a little lower margin than we normally have on our batteries. And I would tend to think that our battery sales, which is driving our top line, our battery sales is going to help us with a strong margin in the third quarter.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Schaffner for any closing remarks.
Brian Schaffner: Thank you to everyone for attending today's call, and we are excited about where we're headed and looking forward to continuing to engage with our investors throughout the remainder of 2025. Just a note, if you are unable to answer or if we were unable to answer any of your questions, please reach out to our IR firm, MZ Group. They would be more than happy to assist you, and this concludes our call.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.